Operator: Good afternoon ladies and gentlemen. My name is Kavita and I'll be your host operator on this call. After the prepared comment, we will conduct a question-and-answer session. Instructions will be provided at that time. [Operator Instructions] Please note this call is being recorded on May 4th, 2021 at 5 P.M. Eastern Time. I will now turn the meeting over to your host for today's call Mike Rost Vice President of Corporate Development and Investor Relations at Workiva. Please go ahead.
Mike Rost: Good afternoon and thank you for joining us for Workiva's first quarter 2021 conference call. Today's call has been prerecorded and will include comments from our Chief Executive Officer, Marty Vanderploeg; followed by our Chief Financial Officer, Jill Klindt. We will then open the call up for a live Q&A session. Julie Iskow, our Chief Operating Officer is also on the call. A replay of this webcast will be available until May 11, 2021. Information to access the replay is listed in today's press release which is available on our website under the Investor Relations section. Before we begin, I would like to remind everyone that during today's call we will be making forward-looking statements regarding future events and financial performance including guidance for the second quarter and full fiscal year 2021. These forward-looking statements are subject to known and unknown risks and uncertainties. Workiva cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only and we undertake no obligation to update any statements to reflect the events that occur after this call. Please refer to the company's annual report on Form 10-K and subsequent filings for factors that could cause our actual results to differ materially from any forward-looking statements. Also during the course of today's call, we will refer to certain non-GAAP financial measures. Reconciliation of non-GAAP to GAAP measures and certain additional information are also included in today's press release. With that, we'll begin by turning the call over to our CEO, Marty Vanderploeg.
Marty Vanderploeg: Hello and thank you for joining today's call. Workiva is off to a strong start in 2021, beating first quarter guidance for revenue and operating income. We exceeded 24% growth in subscription and support revenue, driven by broad-based demand for our platform and fit-for-purpose solutions. Macro business trends such as digital transformation, changes in the regulatory landscape and remote workplaces continue to create favorable conditions for the adoption of our platform. Due to improved market demand and an expanding addressable market we are raising our guidance. Jill will provide further details about our financial results and future outlook later in the call. Our team is executing. We are maintaining an aggressive pace on our 2021 growth priorities which include expanding globally, ramping our partner ecosystem, and launching new platform based fit-for-purpose solutions. Starting with global expansion, we continue to expand outside of North America. EMEA continues to show accelerated year-over-year growth as we continue to focus on ESEF and other use cases that we expect will drive logo expansion. Strong momentum continues with our partner ecosystem. Our partners continue to play a key role in extending the value of our platform and accelerating its adoption. They are also strategically involved in the go-to-market for our new fit-for-purpose solutions. At our 2020 Investor Day, we discussed our approach to identifying and bringing new and enhanced solutions to market. Our recent ESG announcement is a result of our idea to incubation process that provides the optimum mix of discipline, speed, and agility. This process allows us to innovate on our platform validate with our partners and prospects and define a commercial offering. Our ESG solution enables global organizations to simplify the complex ESG ecosystem and achieve greater transparency and accountability. Organizations across the globe are motivated to report their nonfinancial data alongside their financial data to provide a broader company valuation and we believe we are well-positioned to deliver the solution. We have years of experience delivering a cloud platform that supports investor grade reporting for the world's largest organizations. ESG reporting is complex, making it a natural fit for our platform and a compelling market for us to enter. ESG requires the capture management and reporting the financial and non-financial data for many sources and the collaboration of many internal stakeholders. We have been helping customers manage complex reporting for over a decade. Our ESG solution is end-to-end where customers can automate and consolidate the collection of ESG data; connect directly to source documents and systems; utilize globally recognized or proprietary ESG frameworks; work in an audit-ready environment; bring together teammates, data sets and data sources in a controlled setting; and achieve greater transparency and accountability with full XBRL capabilities. Currently, approximately 11,700 large companies and groups across the EU, are subject to mandatory requirements for non-financial reporting. Last month, the European Commission introduced a new Corporate Sustainability Reporting Directive, CSRD intended to improve the quality of ESG reporting and bring more companies within the mandate. Upon finalization of the European legislative process, the proposed CSRD will potentially impact nearly 50,000 companies in the EU. The directive also requires companies to digitally tag reported data using the ESEF inline XBRL standard and Workiva is the leading provider of XBRL and in line XBRL software and services. Therefore, we believe ESG will drive global demand for our cloud platform and lead to an expansion of our addressable market. In response, we are scaling our operations by making targeted investments in R&D, sales and marketing. For us, the launch of ESG is not just another fit-for-purpose solution. It aligns with the values we support and our mission to build trust in the global economy with transparent data and connected reporting. We believe we have the right platform at the right time to help our customers address their ESG requirements. In these extraordinary times, we are honored to contribute our part to climate awareness and sound corporate governance and to elevate fairness trust and overall compassion across the global community. In closing, our Q1 results are reflective of our entire global team, working together to build innovative solutions, deliver superior customer experiences and to live our values-based culture. We have always been intentional about prioritizing our culture and standing behind our values, which is why we are honored to once again be named the Fortune's 100 Best Companies to Work For and Best Workplaces in Technology. Before I turn the call over, I would like to welcome Jill Klindt to her first earnings call as our CFO. Jill is an accomplished leader with strong knowledge of our business and all aspects of our financial reporting and corporate governance. I look forward to working with her in her new capacity to position Workiva for future success. With that I now turn the call over to Jill.
Jill Klindt: Thank you, Marty and good afternoon, everyone. I would like to start by echoing Marty's positive sentiment on this quarter's results, and also express my appreciation to the amazing Workiva team for their continued dedication and execution. It's been a pleasure working alongside you the last 13 years and I'm excited to contribute to scaling the company in the CFO role. Turning to our results. I will talk about our results and guidance on a non-GAAP basis. Refer to our press release, for a reconciliation of our non-GAAP and GAAP results and guidance. We continued to see broad-based demand for our solutions in Q1. As a result, we are raising guidance for 2021 revenue and operating income, which I will discuss later. I'll address our performance against Q1 guidance first. We beat Q1, 2021 revenue guidance at the mid-point by $3.7 million. Higher subscription revenue accounted for the majority of the beat. We beat guidance on Q1 operating income at the midpoint by $3 million. The revenue beat mentioned was partially offset by increased compensation-related expenses. Turning to Q1 2021 results versus Q1 the year before. We generated total revenue in the first quarter of $104.2 million, showing growth of 21.5% from Q1 2020. Breaking out revenue by reporting line item. Subscription and support revenue was $84.9 million, up 24.2% from Q1 2020. New logos and new solutions helped drive strong revenue growth in Q1 2021. 61% of the increase in S&S revenue in Q1 came from new customers added in the last 12 months. Professional services revenue was $19.3 million in Q1, 2021, up 10.6% from the same quarter last year. This was largely due to higher XBRL services revenue. As a reminder, the first quarter is a seasonal high point for our XBRL tagging revenue, since most of our publicly-traded customers prepare their 10-Ks in the first quarter. Turning to our supplemental metrics. We finished Q1 with 3,800 customers, a net growth of 293 customers from Q1 2020 and a net growth of 77 customers from Q4, 2020. Our revenue retention rates remain strong. Our subscription and support revenue retention rate was 95.1% for the first quarter of 2021, an improvement compared to 94.5% for the same period last year. With add-ons, our subscription and support revenue retention rate improved to 111.2% for the first quarter of 2021, compared to 110.9% in Q1, 2020. The number of larger subscription contracts continues to show impressive growth. In the first quarter of 2021, we had 884 contracts valued at over $100,000 per year, up 32% from the Q1 the year before. The number of contracts valued at over $150,000 totaled 457 customers in the first quarter, up 48% from Q1 2020 results. Moving down the P&L. Gross profit totaled $81.4 million in Q1, up 26.7% from the same quarter a year ago. Consolidated gross margin was 78.1% in the latest quarter versus 74.9% in Q1, 2020, a net expansion of 320 basis points. Breaking out gross profit. Subscription and support gross profit totaled $72.2 million, equating to a gross margin of 85% on S&S revenue, an expansion of 210 basis points compared to Q1, 2020, driven by continued operating leverage on server usage related to the transition to our new platform and lower travel costs versus Q1, 2020. Professional services gross profit in the first quarter was $9.2 million, up 20.4% versus Q1, 2020. Gross margin was 47.6%, a net expansion of 390 basis points. Research and development expense in Q1 totaled $24.2 million, up 13% from Q1 2020, due to higher compensation, partially offset by lower T&E expenses and occupancy costs. R&D expense, as a percentage of revenue, improved to 23.2% in Q1, 2021, from 25% in Q1, 2020. Sales and marketing expense for the quarter increased 12.3% from Q1, 2020, to $37.5 million, as we invest in the growth of our business. This increase was driven by higher compensation, partially offset by lower T&E expenses. General and administrative expenses totaled $12.2 million in Q1, up $3.6 million compared to Q1, 2020, due to increased compensation-related expenses. G&A expenses, as a percentage of revenue, increased to 11.7%. Our business fundamentals are strong. We posted an operating profit of $7.5 million in Q1, 2021, compared to an operating profit of $861,000 in Q1 2020. Turning to our balance sheet and cash flow statement. At March 31, 2021, cash and cash equivalents and marketable securities totaled $541 million, an increase of $10.6 million compared to the balance at December 31, 2020. Net cash provided from operating activities in Q1, 2021, totaled $11.5 million compared with cash provided of $4.8 million in the same quarter a year ago. Remaining performance obligations on subscription contracts continue to vary from deferred revenue, as we implement multi-year contracts with annual billing terms for some customers. Turning to our guidance. We are factoring in the expected impact of the COVID-19 pandemic on our business and results of operations, based on information available to us today. For the second quarter of 2021, we expect total revenue to range from $101 million to $102 million. We expect subscription revenue will continue to grow at a faster rate than services revenue in Q2. We expect non-GAAP operating income to range from breakeven to $1 million. For the full year 2021, we are raising guidance for revenue. We now expect total revenue to range from $418 million to $420 million. We expect non-GAAP operating loss to range from $5 million to $3 million. We are modeling higher travel costs and investments in growth opportunities through the remainder of 2021. And in 2021, we expect to post positive free cash flow for the fifth consecutive year. We will now take your questions. Operator, we are ready to begin the Q&A session. 
Operator: [Operator Instructions] And our first question comes from Matt Stotler with William Blair.
Matt Stotler: Everybody. Thank you for taking my question. I think first we'll start with one on ESEF reporting and then I've got a follow-up. Would love to just, kind of, get an update on your expectations regarding the pace of adoption or kind of timing in terms of ESEF adoption over the coming years, kind of, balancing the timing of the mandate with obviously the mandatory compliance for financial statements layering in through 2022 and then expanding to non-financial data the following year balancing that with kind of your observations in terms of customer behavior. Would love to kind of get your sense of what a realistic adoption that might look like. 
Marty Vanderploeg: Hi, Matt thanks for the question. Good question. Just to, sort of, give you a state of where we're at now. We continue to close ESEF accounts and we're seeing a lot of interest there. There's no doubt. I would say it's progressing very much like the SEC did here in the early days of SEC XBRL tagging and reporting. And so I think that's very similar. I think that the overlaying of the non-financial data is sort of a new thing. I really don't have a great measure on that. I will say that when the 2022 requirements come in which obviously raised the bar on that that I think we'll definitely see a higher rate of adoption than just like we did with SEC. And we're starting to get information about how our competitors have done and it's trickier than it looks. So we're very optimistic and I think it'll ramp similar to SEC over the next two to four years. 
Matt Stotler: Got it. Got it. That's helpful. And then just one follow-up on ESG. Obviously, really exciting to see the solution there launched last week. Still pretty new in developing in terms of landscape which I think your platform is very well-suited to handle. But would love anything you can, kind of, give some numbers around, kind of, potential companies and whatnot in terms of where this might be applicable in the EU. Any broader thoughts about the ESG opportunity globally? And kind of, again, looking at how that might kind of roll out in terms of pace of adoption any initial or early thoughts there would be helpful as well?
Marty Vanderploeg: Well, there's been quite a bit of obviously from every corner in discussion about ESG. It's coming from the investment organization. It's coming from individuals. It's coming from governments. We're seeing pressure coming from all directions so I think it's a foregone conclusion that we'll see reporting requirements in a lot of jurisdictions. EMEA is, sort of, leading -- or the EU I'm sorry is sort of leading that charge. And as we talked about in our prepared comments that will potentially be 50,000 companies just in the European Union. We're seeing a lot of excitement from our partners. The large advisory firms are reaching out to us and we're putting together plans on how they're going to market. So we're just seeing broad excitement and execution starting there.  Certainly, the TAM expansion is in the billions and some other companies have put out approximate numbers that you can find. But it's so early. We're just not going to put out some of our estimates until we get a little more visibility on what's happening. It's just such early days, but we feel so blessed in terms of having good fortune. This acceleration of ESG reporting couldn't have happened for a better time for us. Our platform is really maturing. We just finished our upgrade and we have people calling us. And we have customers for ESG already so we're learning very fast. So this TAM increase is just very well-timed for where we were at.
Matt Stotler: Got it. Yeah, very exciting. Thank you very much for taking the questions.
Marty Vanderploeg: Thank you Matt.
Operator: And our next question comes from Tom Roderick with Stifel.
Tom Roderick: Hi, everybody. Thank you for taking my questions. Great to hear from you. It's too big a topic. I'm going to piggyback on that question there on ESG. And Marty you laid out, I think you said 50,000 potential companies and going after this market. And if I lay that up against ESEF itself in Europe, I mean you're talking about a 10x opportunity, which is tremendous from a TAM standpoint and also begs the question, how do you best go to market. You mentioned partnering up with advisory services and businesses on that front. Tell me a little bit more about how you need to invest to tackle this opportunity particularly as some of these regulations rollout and perhaps accelerate the demand for this. Do you really have to get ahead of the curve? And then Jill I'm going to have a follow-on for you with -- in relation to that. So I'll come back to you in just a second. But would love to get the go-to-market here Marty and Julie.
Marty Vanderploeg: Well, thanks for the question Tom. I would say first off that it's -- we're going to have to go at the go-to-market from several different approaches. We will definitely have a direct sales team that's working on this. We have account owners for a lot of accounts globally right now and we're well-positioned to take any type of specialists in there and attack those accounts. The relationships with partners is also going to be really beneficial. Again that was fortuitous. We've scaled those relationships and we see partners investing in practices around our platform, which has been very encouraging. And so I'm sure that a big segment of our go-to-market will be through partners. And then when you get to 50,000 customers there's a big scale in the size of those customers. So we'll definitely bifurcate the market from largest where it will be either us, direct or with partners, down to very smaller firms where I imagine we'll use primarily an inside sales team or we may even get into other forms of distribution. But it's going to take a lot of different means to get to the market that big, but we're just so well-positioned to do that. We have a reputation. We have a very substantial footprint already doing reporting and XBRL tagging and this is just going to dovetail nicely with our existing customer base as well. So we're -- like I said, we're very blessed. We understand that it's going to take some investment and it's going to take some time to watch how this market develops, but we're just extremely excited about it, so.
Tom Roderick: Yeah. That's great. And Jill the follow-on question I'd have for you is thinking about the impact of this. I think you all had laid out the opportunity to get your up to 25% of revenues within I think perhaps five years if you can remind me what the timeline was. How much does this accelerate that? And then just as we think about on the -- building this into the cost structure. It's pretty obvious just given the implied guidance for the back half of the year, the cost structure ramps pretty meaningfully. So should we front-end load that into Q3? Do those costs get back-end loaded? Are they smooth pretty evenly? Just thinking about how to get from what's profitable here to a negative $3 million. $5 million up income number for the year would be helpful on the cost side?
Jill Klindt: Okay. So -- sure. So we had put out and talked about the fact that in the long-term, we would expect to have EMEA contribute 25% to 30% to total revenue. We have not put out a time line around that. There's certainly something that we're aspiring to so there isn't a specific time line around that. But we think that this ESG opportunity you had mentioned whether or not this would accelerate the timing to that, I think that we've always known that there would be additional fit-for-purpose solutions that would help us towards that goal. And this is just one of those and so this is a part of the total execution on that plan and how we'll continue to consider other fit-for-purpose solutions that will also contribute to the EMEA market and globally. So we'll continue to focus on that as a goal and as part of our growth -- overall growth goals. And thinking about the guidance overall, you are correct that we are definitely ramping up now on hiring and investments in the business. We are focusing on growth and we believe that those investments will bring us to that growth. The hiring will be ramped through the end of the year. We are also ramping up and continuing to – will continue to ramp up travel through the end of the year. That has been still mostly on hold. We haven't really seen that through Q1, and you'll largely see that into Q3 and Q4, with Q4 probably being the heaviest. We do not expect that we'll get back to pre-pandemic levels on travel per head though. So while it will increase we will not be back to what would have been 2019 levels of travel, we don't believe through the end of the year. 
Tom Roderick: Wonderful. Thank you for the detail. Congratulations. Thank you.
Jill Klindt: Thank you, Tom.
Operator: And our next question comes from Alex Sklar from Raymond James.
Alex Sklar: Okay. Thank you. Marty, one more on ESG for me. You talked about all the different sources of data customers need to pull from in order to do the reporting. I'm curious, if in your early customer lands, if you're finding the data needed for ESG reporting in general is already in your customer's Workiva platform and so the value prop for an existing customer is even greater?
Marty Vanderploeg: Well, in some instances that is the case. We've seen some customers just go off and start doing ESG reporting with the platform as it existed and we had a group of customers, who are doing sustainability reporting for a lot of years. So yes, some of that is already in there. I would not say it's widespread. But the other thing is the customers know how to use our platform already. Collection of financial data and collection of non-financial data is not substantially different. We will have to make investments. Our platform like I said is ideally suited but we're going to have to integrate with all sorts of different systems. That's where some of the investments will take place and then just making it more fit-for-purpose, putting in a lot more of the framework. So those are all types of things we'll be investing in but I think that just the fact that they use it and are familiar with it is going to drive a lot of adoption in our customer base.
Alex Sklar: Okay. Got it. Very helpful. And then Jill the XBRL services growth is a really impressive business in what I think is always a seasonally stronger quarter. But is there anything we can read into on the services that you're – in terms of the desk representative of the FERC or some of the European ESEF success? Thanks.
Jill Klindt: Thanks for the question, Alex. It really is just related to continued growth in the SEC market and that Q1 is a – as you mentioned a seasonal high point for that revenue. We do continue to expand SEC customers and so that will be up – continues to be up year-over-year.
Alex Sklar: Okay. Great. Thank you.
Operator: And our next question comes from Andrew DeGasperi with Berenberg.
Andrew DeGasperi: Yes, thanks for taking my question. I wanted to ask one more on ESG just in terms of the pricing for this module. Just wondering is this going to be in line with how you price your other products? If you can give us directionally how much they can be generally. And then secondly, just in terms of your long-term targets. Just wondering as you roll out these fit-for-purpose solutions, what could – would that delay achieving your long-term margins?
Marty Vanderploeg: Thanks for the question. In the pricing just to first touch on that, it's very early days for us and we're still trying to figure out pricing. One thing I can say is I think that we'll see a wide range of pricing based on size of the organization and the amount of usage. So we're trying to figure out the metrics still on how we're going to structure the pricing. But obviously, this is a much bigger problem for large companies than it is for smaller companies, so we're going to figure that out. And I don't think it's going to be radically different from the price range we have now but we have a pretty large price range right now as it is. So – but it's going to be in the same ballpark I think, but it's way too early to even make definitive comments. And then the long-term financial targets, we've always said that, if we see growth opportunities we're going to invest and the market rewards growth. And obviously, the bigger we get the more scale we have, the better it is for us in terms of all the cost structure. So, I'm not -- I can't really even ponder a guess, if that's going to extend how long it takes to get there. But I do know that as we grow, we get more and more efficiency from scale, so I'm just -- again, we're just focused on growing. The faster we grow the better. The more these markets, we grab the better. And this is just an opportunity to do that. And I think that on how the market rewards growth, I think most of our investors would agree with that.
Andrew DeGasperi: Just on -- one on potential -- the competitive landscape for ESG, is that significantly different than what you have in the other financial reporting tools?
Marty Vanderploeg: Well, I would say that there's a lot of excitement obviously around ESG and there's a lot of start-ups and some that are even sort of past the start-up stage. But there's no company that has a comprehensive platform that can handle both the financial and the non-financial data, not like the platform, we've built in terms of dealing with all different types of reporting with XBRL integrated and all that. So, we see a lot of competition up and coming. That's okay. That definitely signals that it's a big TAM and we see investment in different startups all over. So, I anticipate, we'll have some competition here, but we're just very well positioned and just have a -- such a big head start in terms of having the tools already built and having our foot in all those accounts already. So, we're just very optimistic.
Andrew DeGasperi: Thanks, Marty.
Operator: And there are no further questions at this time and that does conclude today's conference call. Thank you for your participation. You may now disconnect.